Operator: Good day and welcome to the Endava's Fourth Quarter and Full Year 2024 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Laurence Madsen, Head of Investor Relations and ESG. Please go ahead.
Laurence Madsen: Thank you. Good afternoon, everyone, and welcome to Endava's fourth quarter and fiscal year 2024 conference call. As a reminder, this conference call is being recorded. Joining me today are John Cotterell, Endava's Chief Executive Officer; and Mark Thurston, Endava's Chief Financial Officer. Before we begin, a quick reminder to our listeners. Our presentation and accompanying remarks today include forward-looking statements including, but not limited to statements regarding our guidance for Q1 fiscal year 2025 and for the full fiscal year 2025. The impacts of headwinds facing our industry and business, our ability to capitalize on market opportunities and trends in our industry, including with respect to development of artificial intelligence, our expectations regarding the impact of our recent acquisition of GalaxE on our business, enhancements to our technology and offerings, demand from clients for our technology services, our ability to create long-term value for our clients, our people, and our shareholders and our business strategies, plans, and operations. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements and reported results should not be considered as an indication of future performance. Please note that these forward-looking statements made during this conference call speak only as of today's date and we undertake no obligation to update them to reflect subsequent events or circumstances other than to the extent required by law. For more information, please refer to the Risk Factors section of our annual report filed with the Securities and Exchange Commission on September 19, 2024. Also during the call, we'll present both IFRS and non-IFRS financial measures. While we believe the non-IFRS financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Reconciliations of such non-IFRS measures to the most directly comparable IFRS measures are included in today's earnings press release as well as the investor presentation, both of which you can find on our Investor Relations site or on the SEC website. A link to the replay of this call will also be available on our website. With that I'll turn the call over to John.
John Cotterell: Thanks, Laurence, and I'd like to thank you all for joining us today and hope you're all doing well. Now for over two decades, Endava has been successfully partnering with our clients to guide their digital transformation journeys by combining our deep industry expertise with outstanding ideation to production capabilities. This experience allows us to recognize the disruptive impact that AI is having on businesses and the technology landscape. We're excited about the opportunities AI presents, enabling us to help our clients evolve and thrive in this digital shift. But this shift presents some real challenges, challenges with our clients understanding the technology, challenges in market dynamics and in some cases, businesses' reticence to spend until the path forward becomes clearer. Let's look back and reflect on the past 12 months. It's been a challenging year for Endava and it's been a period of substantial repositioning for our business. Our revenue has experienced headwinds due to the challenging macroeconomic backdrop, slower spend for IT from some of our larger clients, and more recently, the impact of AI, which has elongated clients' planning work and caused delays before scale production ready projects can be commenced. Our concentration on payments as a vertical and on our UK Client base has, for many years, driven significant growth for our business. And of course, this is where the business started, so perhaps that has not been surprising. However, over the past 12 months, these two areas have experienced significant headwinds. Looking forward, we plan to continue to diversify our industry verticals and client geographies, moving towards a more balanced and less cyclical business model. Finally, during the last 12 months, we have broadened our delivery presence, evolving into a truly global delivery organization with significant capabilities across all time zones. As of Q4 FY'24, 17% of Endavans were based in APAC compared to 9% Q4 FY 2023. As we have entered our new financial year, we continue to invest in the people and skills required to support this next wave of digital transformation. We have launched Dava.X, where we provide tailored expertise to help clients embrace and implement technologies rapidly and at scale. These hyper focused specialist areas represent emerging and established technologies and the strong capabilities clients have access to when working within Dava. The areas of specialism covered by Dava.X are AI and data, core modernization, cloud, cybersecurity, embedded software, sustainability, physical computing and quantum. We've strengthened our team through key hires and an internal reorganization to ensure we are fully focused on delivering the best outcomes for our clients. We also invested in tools and technology for enhanced efficiency. Over time, this investment is expected to shift towards revenue generating efforts, paving the way for improved margins in the future. I'm very excited about our acquisition of GalaxE, and the integration is going according to plan. We are seeing a significant number of cross sell projects, and I'll give some examples shortly. And now let me share a few thoughts about some of the most exciting achievements and advances from Endava's recent months. While the AI driven digital shift offers exciting opportunities, we are earnest in our emphasis of upskilling people and businesses to leverage technological advancements to drive meaningful and impactful outcomes. Maximize the potential of AI. Organizations should move away from seeing AI merely as an add-on to existing systems and start considering it as a versatile tool capable of driving holistic transformation across the enterprise. To present an example, we're deeply engaged with a leading insurance company on this very journey. We carried out an in-depth analysis of the organization's technology landscape to identify the use cases that could be transformed by AI. This resulted in a road map that we believe provides the guide for years' worth of technology transformation opportunity and sets the foundation for the path forward. This is an approach we have honed over decades and proudly present to our clients as a way of transforming their businesses whilst minimizing risk. Another area where we see continued opportunity is in helping our clients move beyond proof-of-concepts and towards more scaled production systems. This is particularly relevant to the work we're doing with AI as the technology presents significant engineering challenges building production scale systems. To address this, we are working closely with our clients on ideating through use cases focused on the business problems they have as opposed to simply proving they can use the technology. A few examples from across the various industries we work in include helping an airline client leverage AI to better service clients, helping an insurance client optimize the claims process by embedding AI and using automation to enhance document validation for a client in the health care space. I'd also like to share some progress on some of the exciting in-house solutions we have developed to help our clients through this digital shift. You may remember a previous announcement about our proprietary Agentic AI solution called Morpheus. We continue to advance this solution and our clients are showing interest in leveraging it to enhance their business. As an example, we are currently using it to help deliver the creation of code for a client in a highly regulated healthcare industry. Working with the client, we use Morpheus to create AI agents focused on assisting their teams with delivery of complex workflows. These agents can play specific roles, access tools and collaborate to reimagine complex business processes. In a recent project for a global pharmaceuticals company, Morpheus helped reduce a business process from five days to less than 10 minutes and is expected to deliver annualized savings of more than $10 million. We believe this particular use case is applicable to over 50 similar organizations. We've received incredible feedback from leaders in the AI ecosystem that Morpheus' potential is truly transformational. It's great to see how it is helping our clients achieve their objectives in embracing AI and we will continue to develop the capabilities of Morpheus in line with our client needs. In addition to the examples I've already mentioned, we continue to see demand from our clients to leverage AI across many other use cases as well. For example, we are currently working with a medical examination provider to optimize their processing workflow and reduce the cost by enhancing their document validation and quality assurance with AI capabilities. To help them achieve this, we developed an AI driven solution using GPT-4 and cloud based cognitive services to verify fields, check grammar and assess responses via a user friendly web app, improving the accuracy and efficiency for medical professionals while performing their daily tasks. As a final example of just how broad the opportunity for AI is, we also recently worked with a large furniture supplier in Europe to create an AI powered solution to assist the client in building furniture catalogs by forecasting item attributes, performing domain specific translations between multiple languages and analyzing material images for accurate labeling. For this particular project, we used a slightly different technology. In this case, OpenAI and Microsoft Azure Cognitive Services, which demonstrates how we can adapt to the client's technology needs. As we know, the industry's fast changing landscape is being fueled by this disruptive tech wave driven by AI. This requires businesses to not only embrace innovative technologies, but also look into their core systems and shift towards a truly digital core that enables the rapid and efficient delivery of new initiatives. That is one of the reasons we are integrating the GalaxE core modernization approach with our existing capabilities and with positive feedback from clients so far. Many of our existing clients have expressed significant interest due to their need to transform their core legacy applications to enable the next wave of digital transformation and integrate with AI capabilities. We are seeing this trend across many of our clients, but most significantly in finance and healthcare. I'm proud to share a few examples of early success stories from our cross selling efforts. The first example of our work is for a leading financial services company, where we embarked on a project to analyze their existing technology platforms and rationalize them down to an optimal future state design that was much more efficient to run. We used our automation tools to help perform the analysis and identify the impact of specific business requirements on the target state design, the components that would need to be changed and the impact to the regression test scope and specific use cases, all of which helps to create transparency and build confidence in the likelihood of success for the transformation. Next, we worked with an energy supply and logistics company to complete a post-acquisition integration project, in which we documented their internal tech and disaster recovery process using our automation capabilities. Additionally, we are working with a biopharmaceuticals services company to help them on a critical project to redesign how they store and access data. To achieve the desired results, we are helping them manage data across different teams and business areas to form a more cohesive view of key business and operational data. Another great example of our work is for a national drugstore chain in the US where our latest projects involve discovery work on how to modernize a two decade old application. That system was built to handle the filling of prescriptions across their retail locations and is a major part of the business that needs updating. Lastly, for one of our large payment clients, we are working to update a number of their existing platforms using our core modernization capabilities. In parallel, we are beginning to incorporate other AI tools like GitHub Copilot to help enhance and derisk the changes that are being made. All of these examples leverage a combination of the traditional digital transformation capabilities we are known for as well as the core modernization capabilities we've gained through the incorporation of GalaxE. Moving on, I'm pleased to share that this July, we announced a strategic deal with OpenAI to deploy ChatGPT enterprise licenses to all of our employees globally. A team of ChatGPT champions from across the business are already developing GPTs and passing on best practice to deeply embed AI within all areas of our business. We're integrating the technology with internal systems to establish best practice and pave the way for seamless company-wide integration. We are already seeing the power of this technology with a number of specialized GPTs being created and deployed to enable our teams to be more productive. To ensure employees maximize the benefits of this powerful tool whilst using it responsibly, we have established an AI committee to define and refine our AI use policy and we have implemented a mandatory training module on the use of AI for all staff. Now an exciting piece of news. Today, we announced a partnership with the Phoenix Suns and Phoenix Mercury to elevate their fan engagement through personalized digital experiences. The collaboration Endava's latest in the global professional sports market will bring our technology to the Suns' and Mercury's marketing efforts to provide increased data insights. It's a really exciting project and we're looking forward to tip-off our partnership with the Suns and Mercury. I'm pleased to share that today we've published our 2024 Sustainability Report, which is now available on our website. We've made significant progress with our environmental agenda and our SBTi targets were officially approved in July. Endava has approved near and long-term science based emissions reduction targets and an overall science based net zero target. Additionally, our report also focuses on how we support our clients in their sustainability journeys, fueled by our industry expertise, ESG partnerships and green software capabilities. In the same breath, I'd like to touch on our commitment to continuing to invest in meaningful partnerships that bolster our existing ecosystem and ultimately better support our clients. An example of this was a recent panel discussion with Endava's partners from Snowflake, Guidewire and Stripe diving into how strategic partnerships can drive client centricity and creativity. Wrapping up, we ended the quarter with 12,085 Endavans onboard, which represents a 0.2% increase from the same period last year. Looking forward, in the current environment, we're prioritizing recruitment in high demand areas. I'd like to take this opportunity to thank all Endavans for their commitment and determination as we're navigating the challenges and moving towards new opportunities together. We will continue to manage the business for the long-term, maintaining our culture and organizational health and creating exciting technological solutions that empower our clients and their clients to thrive in this next wave of AI driven digital transformation. Now I'll hand over to Mark, who will walk you through our quarterly financial results and offer guidance for the upcoming quarter and new financial year.
Mark Thurston: Thanks, John. Endava's revenue totaled GBP194.4 million for the three months ended June 30th, 2024 compared to GBP189.8 million in the same period in the prior year, a 2.4% increase over the same period in the prior year. In constant currency, our revenues increased 3.5% from the same period in the prior year and reflected a 15.6% positive inorganic contribution during the quarter. Sequentially revenue was up by 11. 4% in constant currency on the previous quarter including a 13.5% inorganic contribution primarily related to the impact of the GalaxE. acquisition. The contribution of GalaxE drove increases to revenue in our North America and primary healthcare verticals within other which were partially offset by decreases in our UK geography and payments vertical respectively. Loss before tax for the three months ended June 30th, 2024 was GBP0.4 million compared to a profit before tax of GBP24.9 million in the same period in the prior year. Our adjusted PBT for the three months ended June 30th, 2024 was GBP14.9 million compared to GBP38.3 million for the same period in the prior year. Our adjusted PBT margin was 7.7% for the three months ended June 30th, 2024 compared to 20.2% for the same period in the prior year. Profit before tax and adjusted PBT were impacted by a decline in operating margins. As mentioned previously, we expect these margins to normalize in future periods following the integration of GalaxE and the business optimization initiatives we undertook during the fiscal 2024. Our adjusted diluted earnings per share was GBP0.22 for the three months ended June 30th, 2024 calculated on 58.8 million diluted shares as compared to GBP0.57 for the same period in the prior year calculated on 58.1 million diluted shares. Revenue from our 10 largest clients accounted for 34% of revenue for the three months ended June 30th, 2024 compared to 35% in the same period last fiscal year. The average spend per client from our 10 largest clients increased from GBP6.6 million to GBP6.7 million for the three months ended June 30th, 2024 as compared to the three months ended June 30th, 2023 representing a 2% year-over-year increase. In the three months ended June 30th, 2024 North America accounted for 38% of revenue, Europe for 25%, the UK for 30%, while the Rest of the World accounted for 7%. Revenue from North America grew 28.9% for the three months ended June 30th, 2024 over the same period last fiscal year. Comparing the same periods, revenue from Europe grew 8.5%, UK declined 19. 2% and the Rest of the World declined 13.0%. As mentioned earlier, North America was boosted by the contribution of the GalaxE business while the UK was partially impacted by the decline in the payments vertical, which I will discuss shortly. Revenue from payments declined 30.5% for the three months ended June 30th, 2024 over the same period last fiscal year and accounted for 19% of total revenue. Revenue from banking and capital markets grew 10.7% for three months ended June 30th, 2024 over the same period last fiscal year and accounted for 17% of total revenue. Revenue from insurance grew 13.9% for three months ended June 30th, 2024 over the same period last fiscal year and accounted for 9% of total revenue. Revenue from TMT grew 0.4% for the three months ended June 30th, 2024 over the same period last fiscal year and accounted for 21% of total revenue. Revenue from mobility declined 11.7% for the three months ended June 30th, 2024 over the same period last fiscal year and accounted for 9% of total revenue. Revenue from other grew 58.8% for the three months ended June 30th, 2024 over the same period last fiscal year and accounted for 25% of total revenue. Regarding payments, the decrease has been driven by slowing activity of a few of our larger clients compared to the prior year. Meanwhile the increase in revenue from other was driven by increased revenue in the healthcare vertical following the GalaxE acquisition. Our adjusted free cash flow was GBP6.6 million for the three months ended June 30th, 2024 compared to GBP31.5 million during the same period last fiscal year which included GBP6.3 million of exceptional restructuring costs in the period. Our cash and cash equivalents at the end of the period totaled GBP62.4 million at June 30th, 2024 compared to GBP164.7 million at June 30th, 2023. The net change in our cash equivalents was primarily impacted by payments for acquisitions including the GalaxE business in Q4 offset in part by the proceeds from the drawdown of our revolving credit facility in Q4. Our borrowings were GBP144.8 million at June 30th, 2024. Capital expenditure for the three months ended June 30th, 2024 as a percentage of revenue was 0.8% compared to 1.0% in the same period last fiscal year. I'd now like to move on to some highlights for our fiscal year 2024. Endava's revenue totaled GBP740.8 million for the fiscal year June 30th, 2024 compared to GBP794.7 million in the previous fiscal year, a 6.8% decrease over the prior year. In constant currency, our revenues declined 4.5% from the same period in the prior year and reflected an 8.2% positive inorganic contribution during the fiscal year primarily related to the impact of the GalaxE acquisition. As we've noted before, we're still facing challenging macroeconomic headwinds and a backlog of work as clients continue to delay spending decisions which has continued to impact our revenue performance. Profit before tax for the fiscal year ended June 30th, 2024 was GBP27.0 million compared to a profit before tax of GBP114.2 million in the prior year largely as a result of a decline in the adjusted PBT margin. As mentioned earlier, we expect these margins to normalize in upcoming periods. Our adjusted PBT for the fiscal year 2024 was GBP83.0 million compared to GBP164.2 million in the prior year. Our adjusted PBT margin is 11.2% for the fiscal 2024 compared to 20.7% in the prior year. Our adjusted diluted earnings per share was GBP1.12 for the fiscal year 2024 calculated on 58.7 million diluted shares as compared to GBP2.28 for the previous fiscal year calculated on 58.1 million diluted shares. Revenue from our 10 largest clients accounted for 32% of revenue for the fiscal year 2024 compared to 33% for the previous fiscal year. The average spend per client from our 10 largest clients decreased from GBP26.0 million to GBP24.1 million for the fiscal year 2024 as compared to fiscal year 2023. In terms of geographies on a year-over-year basis, North America was down 6.4%, Europe up 4.7%, UK down 20.0% and the Rest of the World up 34.9%. As with the Q4 numbers, our UK segment was impacted by the broad decline in payments and to a lesser degree the decline in TMT. On a year-over-year basis revenues from payments decreased 23.0%. Banking and capital markets decreased 14.0%, insurance increased 13.4%, TMT decreased 2.7%, mobility decreased 8.3% and other increased 17.2%. As noted earlier, payments was impacted by reduced activity from a few significant clients compared to the prior year whereas the increase in other was boosted by the contribution from the GalaxE acquisition. Our adjusted free cash flow was GBP58.4 million for the fiscal year ended June 30th, 2024 compared to GBP111.5 million during the same period last fiscal year which included GBP13.6 million of exceptional restructuring costs in the period. Capital expenditure for the fiscal year ended June 30th, 2024 as a percentage of revenue was 0.7% compared to 1.7% in the last fiscal year. If I turn to the guide, I would like to make a couple of points. Since we exited fiscal year 2024, the US Dollar has weakened against the British Pound from $126 to $131 which adversely impacts the revenue guide and I will set this out when giving the revenue ranges and growth. Additionally, as John highlighted, we're investing in our teams in anticipation of the next wave of digital transformation. So whilst our restructuring FY'24 has created savings, we continue to invest in people, technologies and the GalaxE integration in FY'25 in readiness for the longer term opportunity. These investments are impacted in our adjusted PBT margin by about 2.5% during FY'25 and reflected in the guide below. Our guidance for Q1 fiscal year 2025 is as follows. Endava expects revenue to be in the range of GBP194 million to GBP195 million representing constant currency revenue growth of between 4.5% and 5.0% on a year-over-year basis. In the absence of US Dollar weakness Q1 FY'25 would have been 1% higher than Q4 FY'24 resulting in GBP196 million at the top end of the guide. M&A contributes 13% of growth to the constant currency year-on-year guide. Endava expects adjusted diluted EPS to be in the range of GBP0.21 to GBP0.22 per share. Our guidance for full year fiscal year 2025 is as follows. Endava expects revenue to be in the range of GBP800 million to GBP810 million representing constant currency revenue increase between 10.0% and 11.5% on a year-over-year basis. Again in the absence of US Dollar weakness, the full year figure would have been 2.5% higher than the top of the guide range resulting in a GBP826 million at the top end of the guide. M&A contributes 11% of this constant currency guide. Endava expects adjusted diluted EPS to be in the range of GBP1.12 to GBP1.17 per share. This above guidance for Q1 fiscal year 2025 and the full fiscal year 2025 assumes the exchange rates on August 30th, 2024 when the exchange rate was GBP1 to US$1.31 and EUR1.19. This concludes our prepared comments. Operator, we are now ready to open the line for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from Jonathan Lee with Guggenheim Partners. Please go ahead.
Jonathan Lee: Great. Thanks for taking our questions. Your outlook implies slight sequential improvement through the year. What's driving your confidence in that dynamic? And how much visibility do you have at this point in the year?
John Cotterell: Thanks, Jonathan. Yes, there is some sequential improvement. Mark will touch on that in a moment, but it's not high, it's pretty conservative. As you look at the business, we've been talking about the importance of core modernization to us and how that's driving activity as clients look at how they can plug AI into their core and get access to data and so on. And those are quite big projects and it's driving a lot of pipeline activity and conversation with clients. So that's one aspect. And second area is now that we have a footprint in India, we're starting to see some clients, some existing clients talking to us about work that we previously wouldn't have been considered for. But where we are well positioned in terms of our industry vertical know how etcetera. So that's opening up another little avenue for growth. And then third key aspect is the cross selling opportunities that we're getting with GalaxE with their clients and then with us. And once again, I covered quite a lot of the areas where we're seeing some cross selling opportunities in the opening remarks. You put those together and we're feeling that the outlook for the year should be showing some growth. So we believe that's the right thing to do.
Mark Thurston: And in terms of the quarter-on-quarter cadence, you're right, there is sequential move up from Q1, relatively modest though, I have to say, around about the 2% also at the top end of the guide quarter-on-quarter. The visibility point of the question, as you expect, the visibility to December is pretty solid. With the second half, it is relatively limited in terms of how we look at it, as a proportion of contracted and committed pipeline. But I think the important thing is that the business mix has changed quite markedly with the acquisition of GalaxE. So we're less exposed to payments and less exposed to the UK. So we're seeing more solidity come through in the other industry verticals.
Jonathan Lee: Thanks for the detail there. I mean given some of the payment softness you called out, can you talk us through what you're seeing across your top two customers? And what's contemplated in your outlook across those two?
John Cotterell: Can I just clarify Jonathan who you're thinking of as the top two customers?
Jonathan Lee: We would point to Mastercard and Worldpay.
John Cotterell: Okay. The reason for asking is that we have a different customer in that second slot. I didn't want to confuse. So I just wanted to make sure. So as we look at those two, the revenue from one continues to do the crossover where we've got a large program that continues to drop steadily. And that is offset by other revenues in the client that are building up. And the build-up side is actually very strong from a lower base, but it's now catching up fast. So we would expect that client to stabilize slightly full in the outlook that we have. The second client is actually picking up over the year. They got private equity investment into the business and that's kicked up a transformation program which we are participating in and that's seeing ramp up through the period.
Jonathan Lee: Appreciate the color. Thanks guys.
John Cotterell: Thanks, Jonathan.
Operator: The next question comes from Bryan Bergin with TD Cowen. Please go ahead.
Bryan Bergin: Hi all. Good morning, good afternoon. Thanks for taking the question. John, I wanted to just kind of double click on the comments you had on AI driven sales elongation. So just considering how early it still is in enterprise adoption GenAI with most just testing POCs. Does this mean you may face a more extended recovery to a new normal on growth profile? Just how are you thinking about that?
John Cotterell: Yes, I mean we're definitely seeing the sales elongation and that's driven some of the expectations that we set in the guidance that we're not seeing a huge jump forward in that over the next 12 months. I mean it's probably worth me expanding a little bit on what we're seeing in the marketplace. And as organizations came out of COVID where their IT spend was shall we say a little uncontrolled and we've had macro uncertainties build-up, interest rates have gone up and CFOs have raised the bar on business cases added extra level to sign off quite often on new projects. You put that higher bar alongside an emerging technology where the benefits and the engineering challenges are still being worked out. And CIOs are finding it harder to give certainty of outcomes in that context. So you have this context of a higher bar and a tougher challenge improving out the technology and what it's going to deliver. And that's causing a hiatus in this decision making that you're referring to. So the projects are there, but they're needing a lot of additional price typing, development of the business case. It's creating a much longer decision making and sales cycle for us. We are seeing projects emerging from the tunnel and go into production build and many of us continue to advance, but we're not seeing the miss clear and the volumes come through sufficiently to start pushing it into our guide in any strength.
Bryan Bergin: Okay, understood. And then Mark, just shifting over to margins here. So appreciate you quantifying the reinvestment level this year. Can you give us a sense on kind of the path to gross margin recovery as '25 unfolds? And just maybe dig in a little bit on any aspects around pricing dynamics in market?
Mark Thurston: Sure. So, obviously, we went through our restructuring to right size demand supply within the business. But we are reinvesting that margin improvement, as John outlined on the script in Dava.X tools and technologies. And that investment will weigh on our adjusted PBT margin basically through the first half of fiscal '25. And then we'll start to improve as we come through in Q3, Q4. In terms of that gross margin, that adjusted PBT margin improvement, we're assuming pricing remains flat for us. So there is no sort of leverage from that perspective. And in terms of the other side of the equation, which is pay rises, we will have to see recovery in demand at a heightened level and see whether the pricing we're seeking to secure from clients comes through to justify the pay rises that we'd like to put through. So I think the margin improvement comes basically from those investments, which are basically through the first half, maybe a little bit into the third quarter as we migrate GalaxE onto our systems. And so to weigh on us a little bit, but Q4, we will see an uptick.
Bryan Bergin: Okay. I appreciate the detail. Thanks.
John Cotterell: Thanks, Bryan.
Operator: The next question comes from Puneet Jain with JPMorgan. Please go ahead.
Puneet Jain: Hi. Thanks for taking my question. I just wanted to follow-up on the prior question on our visibility to fiscal '25 revenue. So what does like the guidance assume for client budgets next year? Like are there any early signs that you are seeing that might suggest some level of improvement in next calendar year or in second half of the fiscal year guidance?
John Cotterell: So we're not basing the guide on significant change in client level budgets. As I touched on it's more based on these expanded service capabilities, the India footprint and the cross selling that gives us the confidence that that's expanding us into new client spaces within our existing client base and new clients as we expand that service offer around core modernization. We're seeing the pipelines around that and that's what we base the slow growth that we have in the guide on.
Puneet Jain: Got it. And can you also double click on GalaxE integration plans like where you are like you mentioned like some of your existing customers are looking at GalaxE's India capabilities. So maybe if you can talk about cross sell opportunities synergies that we can expect this year?
John Cotterell: Yeah, I mean, the GalaxE integration is going well and Mark will touch on the investments we're doing in that. If I can just pick up on the customer facing side, we are seeing significant cross selling opportunities, strong pipeline that we're monitoring and working on together around the core modernization space. We've integrated their capabilities into the approach that we had previously had in that space and created a very, very powerful proposition that we're going to market with. That is getting a lot of interest from customers both existing and new. It's an interesting space because as the AI market develops, and the need to be able to modernize your core move towards having a more digital core, so that you can exploit the benefits of cloud and AI becomes more and more crucial. And the approach that we have which includes accelerators and productivity tools to be able to really dig into the core effectively makes it a powerful proposition in that space. And a lot of that has come through integrating GalaxE into the capability that we had in that space. So we're getting a lot of cross sell opportunities out of that. The second one that I touched on a moment ago was that we're also seeing opportunities to do some delivery out of India for existing clients where we wouldn't have been considered for the work previously. But actually given the relationship that we have with them and the footprint that we now have in India, we're actively seeing opportunities coming through the pipeline around that. So lots of cross selling opportunities with GalaxE well into double-digits that we're working on with them. Mark, anything on that?
Mark Thurston: Investment, I'm not going to quantify. I mean, there's a reasonably straightforward migration onto our systems and processes, which will be heavy through Q2 and Q3 when we anticipate that done. But outside that, there is sharpening up the go-to market. We have the cross selling opportunities, but it is to embed it very strongly in offering the Endava you know has to the market, which will also require investment.
Puneet Jain: Got it. Thank you.
John Cotterell: Thanks, Puneet.
Operator: The next question comes from Brian Keane with Deutsche Bank. Please go ahead.
Bryan Keane: Hey, John. Just want to ask about GenAI and when you think it becomes a little more material to the revenue base. Is this a couple of years out? Is this a fiscal year '25 phenomenon, how do you think about it, maybe any leading indicators you're going to watch to give you signs that it's more material?
John Cotterell: Yes, I mean, I think the lead indicators are going to be how we see our pipelines progress rather than a sort of macro stoke external look. And we are seeing things move forward. As I touched on the call focusing on the real use cases that are going to make a difference to our client businesses has definitely accelerated the discussions that we're having with them. I think what the market is starting to understand and learn about is that the engineering around implementing GenAI is actually pretty complex. The idea that you could take it out of the box, put it in an organization and somehow it would work out by itself how to integrate and optimize processing and all the rest of it is clearly not true. The opportunity for Endava is that we're the organization ourselves and our peers who can actually solve those engineering problems and actually help clients move to a place where the business cases stand up whether the cost of implementation versus the benefits inefficiencies and so on that you're going to get downstream actually stand up and where customers have the confidence in the engineering to believe they're going to get an outcome. These are not small projects and hence they're getting a lot of scrutiny often as I touched on a moment ago they have to go in and modernize the core alongside implementing the AI engineering. And that's a lot of work and it's something over the last 20 years of digital transformation that clients have managed to avoid doing, building their digital transformation around the outside of the core. As we go forward AI really requires getting at the data in the processes in the core. So that core modernization work is also required. So they're big projects with long sales cycles. Now we are seeing them progress through. I don't think we'll see the 20% plus growth come through in our financial year '25 which is why we've kept the guide where we have.
Bryan Keane: Got it. And then just on the payments market looking beyond the two major players in your client concentration. Is the outlook for payments, I guess, one, just trying to understand the softness there, consumer spend has been relatively resilient, so I'm a little surprised to see the sector get hit as hard as it has or is that just more of the client concentration? And then, I guess, the second piece of that is that outlook going forward, I assume, that it won't have that much of a negative hit in fiscal year '25 in the payment sector?
John Cotterell: Yes, I mean the good news looking forward is that we are much less exposed to payments than we were historically. It's come down to 19% of the business. And the top two clients that you're touching on remain resilient, not showing strong growth as they previously did for many years. But they're not getting away in terms of falling like a stone. And the other thing that I would say about the payments market is that we focus on the payments processes as our payments market is becoming more competitive and you're seeing some of the spend investment in payments move into the banks, even some into the retailers and so on. And so we're seeing a diversification of our payments capability into other markets, which payments, so payments as a horizontal is not as weak as payments as a vertical for us as a business and that some of those other markets are investing quite strongly in payments. So it's very difficult for us to pull that out because that's a horizontal view that we don't really analyze. It fits within the banking spend that clients have for instance. But, yes, I think those two things put together are creating a more competitive market for the payments processes. And that's pressurizing their margins rather than their volumes, which cascades through into the investment cases that they make just to put out the underlying dynamics of what I think are driving the macro impairments.
Bryan Keane: Got it. Thanks for taking the questions.
John Cotterell: Thanks, Bryan.
Operator: The next question comes from James Faucette with Morgan Stanley. Please go ahead.
James Faucette: Thanks very much. Just a couple of follow-up questions. When you talk about customers having kind of elongated decision cycles, etcetera, is this specific to projects that would incorporate AI or are they is it more generalized, because maybe they don't know where they want to use AI type tools etcetera. So that's leading to an elongation everywhere or just looking for a little bit of clarification on where you're seeing that elongation and if we can isolate it to types of projects or customers?
John Cotterell: So I would say that it's creating some elongation right across their discretionary spend. They're still pushing other projects that I don't know have managed services in nature or outsourcing in nature to drive costs down. And those are following more normal decision cycles, but also not an area where Endava plays usually. Whereas the CFO is raising the bar that I was talking about earlier as and adding extra levels of sign off is expanding the cycle on the rest of this discretionary spend. But the areas that are seeing the longest decision cycle are the AI core modernization related activities.
James Faucette: Got it. Okay. Thanks for that color. And then back to GalaxE certainly looks like a good acquisition. Can you give us a sense of how much and it seems like you're getting some incremental and you've talked about some cross sell benefits or potential there. But how should we think about, at least at this early stage, how quickly GalaxE's type of work is growing within Endava? And how should we be thinking about that in terms of what's being pricing driven and impact that could have on some KPIs like revenue per head etcetera? And how do you anticipate that playing out more over the medium term beyond just this fiscal year?
John Cotterell: So let me pick it up at high level. The cross selling opportunities we have landed two or three which we are building clients for now. But most of it is still pipeline and still proving that we will win together in that space. So it is good early signs that we have product and capability that we can go to market. We hear that is going to be very powerful. But we're still proving it out, which is why we've just put a smidgen into the guide.
Mark Thurston: I think it's too early to give you sort of indicators on revenue per head, James, basically. I mean, as I said, we're investing in our go-to market and sharpening up that offering to market, which will be a combination of the two businesses. So I think it's too early to say what it will do to the operational metrics in terms of revenue per head, etcetera. We obviously have a lot more clarity as we get towards the full integration, which will be in an early FY'25. We will probably be able to update you more on this on our next quarterly call with you.
James Faucette: That's great. Appreciate all the color Mark and John.
John Cotterell: Thanks James.
Operator: The next question comes from Maggie Nolan with William Blair. Please go ahead.
Kate Kronstein: Hi, everyone. It's Kate on for Maggie. Mark, you mentioned some of the investments that will impact adjusted PBT margin. Can you please expand on those a little bit more?
Mark Thurston: Well, it is mainly across a number of items. I mean it is, as John outlined, it was Dava.X, where we are investing in tools and technologies around our delivery and wanting the offering to the market. And it's also sharpening up the go-to market around the industry verticals. We are, as John said on the call, investing in partnership with ChatGPT, which is heavy on licenses and also there's the GalaxE integration costs, which are pretty heavy. I think the other thing to sort of mention as well is we didn't pay out any bonus last year because of the performance and we anticipate paying a bonus based on good performance this year. So those elements are weighing on the margin. Of course, they're investments, and we expect them to pay back in terms of return. I think the return in terms of improving margin will come through towards the latter quarter of the fiscal year.
Kate Kronstein: Okay. Great. Thank you. That's helpful. And then John you mentioned a continued priority to invest in meaningful partnerships. Are there specific partnerships that you think could provide Endava with substantial opportunity in the next year?
John Cotterell: Yes, there's quite a few. I have to take a list of them all. Maybe I just should. So obviously with Google on the Cloud, AWS, Microsoft through the Azure space critical hyperscaler partnerships where we work very closely with them. We then got partnerships with Snowflake, Stripe in the payments arena taking payments into wider markets and a number of others. So it's an area that we've invested in quite considerably over the last two or three years and are starting to see the benefits of partners who we can incorporate into our technical solutions and make a real difference to clients, but also who will where appropriate bring us in as the engineers who can make things work in real life situations. So in both those arenas we're seeing real benefits from those partnerships.
Kate Kronstein: Great. Thank you, guys.
John Cotterell: Thank you.
Mark Thurston: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over for any closing remarks.
John Cotterell: Thank you all for joining us today. And as I mentioned in my prepared remarks, we continue to invest in the people and skills that are required to support this next wave of digital transformation. We've strengthened our team through key hires and an internal reorganization to ensure that we're fully focused on delivering the best outcomes for our clients. We've also invested in tools and technology and accelerators for enhanced efficiency. And over time this investment is expected to shift towards revenue generating efforts paving the way for improved margins in the future. I look forward to seeing you all on our next earnings call in November. Thank you.
Operator: The call has now concluded. Thank you for attending today's presentation. You may now disconnect.